Operator: Excuse me, everyone. We now have our presenters in conference. Please be aware each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. [Operator Instructions] It is now my pleasure to turn today's conference over to you Mr. Richard Cribbs.
Richard Cribbs: Hi. Thank you, Debby. Good morning. Welcome to our first quarter conference call. Joining me on the call this morning are David Parker and Joey Hogan. As a reminder, this conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those contemplated by the forward-looking statements. Please review our disclosures and filings with the SEC including without limitation the Risk Factors section in our most recent Form 10-K. We undertake no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. A copy of our prepared comment and additional financial information is available on our website at Covenantransportation.com under our Investor tab. Our prepared comments will be brief and then we will open up the call for questions. In summary, the key highlights of the quarter were, our asset based divisions' revenue , excluding fuel, increased 3.5%to $31.4 million due primarily to a 6.3% in average freight revenue per tractor , partially offset by a $3.2 million year-over-year reduction in intermodal revenues. Versus the year ago period average freight revenue per total mile was up $0.154 per mile or 9.5% and our average milest per tractor were down 2.9%. Versus the prior year quarter, freight revenue per tractor at our Covenant Transportation experienced an increase of 6.5% and our and our Southern Refrigerated Transport, SRT subsidiary experienced an increase of 9.2%, while our Star Transportation subsidiary experienced a decrease of 1.1%. The asset based division's operating costs per mile, net of surcharge revenue, were up approximately $0.26 per mile compared to the year ago period. This was mainly attributable to higher employee wages. These increases were partially offset by lower net fuel costs. We recognized a loss on disposal of equipment $1.1 million in the first quarter of 2018 versus the loss of only $400,000 in the first quarter of 2017. The asset based operating ratio was 95.9% in the first quarter of 2018, compared with 100.9% in the first quarter of 2017. Our Solutions logistics subsidiary increased revenue by 45% versus the year ago quarter. Purchased transportation increased as a percentage of revenue, While other operating expenses decreased as a percentage of revenue resulting in order contraction to 94.4% from 89.0% in the year ago quarter. This result was a decrease of operating income contribution to $1.1 million in the current year quarter from $1.4 million in the prior year quarter. Our minority investment in Transport Enterprise Leasing contributed $1.5 million to pretax earnings or $0.06 per share. The average age of our tractor fleet continues to be young at 2.1 years as of the end of the quarter, although up slightly from 2.0 years a year ago. Since December 31 of 2017, total indebtedness, net of cash and including the present value of off balance sheet lease obligations, has decreased by approximately $24.9 million to $195.2 million. The main positives in the first quarter were, one, significant improvement in the operating profitability at each of our three asset based truckloads subsidiaries. Two, a 6.3% increase in average freight revenue per truck versus the same quarter of 2017. Three, de-leveraging with a $24.9 million decrease in our total net indebtedness. Four, improved year-over-year earnings from our investment in Transport Enterprise Leasing, and five, our tangible book value per basic share increased 27.5% to $16.46 from $12.91 a year ago. . The main negative in the quarter were, one, the operating income decline from our Solutions subsidiary, and two, increased truckload operating cost on a per mile basis, including the unfavorable employee wages partially offset by lower net fuel costs. Our fleet experiences an increase to 2,576 trucks by the end of March, a 17 truck increase from our reported fleet size of 2,559 trucks at the end of December. Our fleet of team driven trucks averaged 894 teams in the first quarter of 2018 which is a 2% decrease from 912 average teams in the fourth quarter of 2017. From a financial perspective, we are forecasting sequential operating income improvement in each of the remaining quarters of 2018. Based on our expectation of a continuation of recent U.S. economic growth, as well as continued regulatory and demographic capacity constraints on driver availability, we expect year-over-year average freight revenue per total mile to be positive over the remainder of the year by a high single digit percentage. The percentage may be greatest in the second quarter, when a large portion of our annual contractual rate revisions are scheduled and the comparison to last year's quarter is most favorable. The expected increase in yield will be offset in part by higher employee wages, the potential for miles per tractor to remain lower than last year, and inflationary factors. All in all, we expect meaningful year-over-year year improvements in earnings per share each quarter of 2018. In terms of strategic and operating considerations, we remain focused on positioning our service offerings for extended success in their respective markets and continuing to develop and grow our professional driver employee base. A key initiative for our business in 2018 is becoming closer to our customers. As we allocate our capacity in the currently robust freight market, we are seeking to partner with customers that will integrate us deeper into their supply chains, offer operationally friendly and seasonally manageable volumes, and respect our drivers' time and value. We expect to increase our capital allocation toward dedicated, 3PL, and other managed freight solutions to become the go -to partner for our customers' most critical transportation and logistics needs. In this regard, we believe our diverse service offerings provide a valuable asset that we can leverage to achieve this goal, while our enterprise-wide sales effort will make it easier to do business with us. We continue to expect significant earnings contribution from peak shipments in November - December of each year; however, the focus on these other services is intended to reduce the seasonal volatility we have experienced in previous years. As we pursue our goals, we expect the professional driver environment to continue to offer significant challenges as well as the opportunity to differentiate Covenant group of companies as the carrier of choice for many drivers. Many small competitors face the prospect of network disruption and substantially lower paid miles for their drivers due to the enforcement of mandatory electronic log requirements. Our network has been built on years of electronic log compliance, and we are actively working with our customers to maximize the efficiency and utility of our drivers' hours of service. We expect to continue to reward our drivers with pay increases to maintain or improve our seated truck percentage. In addition, we will continue to be highly focused on all aspects of our drivers' experience, giving them the resources they need to enjoy their time with us, spend more time with their families, provide excellent customer service and view us as a safe and rewarding home. Thank you for your time. We now open up the call for any questions.
Operator: [Operator Instructions] Our first question comes from David Ross.
David Ross: Yes, good morning, gentlemen. The unseated truck count rose a little bit. What's a good normal level for you guys? Where do you want it to be? It was it closer to 2% or 3%. Do you want to get back to the 4%? And how do you think about getting there?
Richard Cribbs: We love to get it to the 2% or 3%. Actually as the quarter closed down and as we've gotten into April with some of the changes we've made, that unseated percentage is down closer to 4 and 4.5. That's where we've been most quarters, each quarter last year, and year and a half. And so we kind of think we can kind of keep it there the rest of the year.
Joey Hogan: David, this is Joey. I think it's kind of the way to think about it for us anyways 5% is kind of danger zone when it starts approaching 5%, it's telling us we got to do something, either we need to adjust to something, either the markets is changing from pay, retention efforts but if we can kind of keep it under five, I would say we're quite happy and obviously lower the better.
David Ross: And then in the team driven trucks, you mentioned that that has fallen a little bit year-over-year. And when we think about that in terms of supply demand in the marketplace, teams seem to be in high demand right now. Is there anything unique at Covenant that's taking supply out or is it just hard to find teams everywhere and are you being rewarded for that in pricing more than solo fleet?
Joey Hogan: Yes on the latter part I mean there's no question that in this market if you've got a team you're going, you should do well. We also see in these types of markets historically is that everybody wants something. And so the competition for teams gets, it's already strong, it gets intense as the marketplace seize that opportunity and people that traditionally don't run teams jump in and try to add a few team, and to try to capitalize on that opportunity. So we've seen this before. We don't like it. We've seen it before when the market really tightens up; our team count kind of slows. Some markets it kind of can drop. We're working on to hold it with mine growing it a little bit, but it's not, this is not unusual. We're not one for excuses, so probably our rates have moved more than we expected and so we're evaluating that too because with an expectation of what we think are our pricing will be. There's also an expectation of what we can pass along to our workforce. And so with rates moving more than expected, we're reviewing our plans again for our compensation for our workforce as we speak so it's kind of a minimum; you got to move to the market and then at least from that how much you think you can afford beyond that. So extremely intense market for teams right now there's no question.
Richard Cribbs: And David, this is Richard. On top of increase in the driver pay and some additional amounts that we're looking at right now, we've also opened up a new orientation group in Pennsylvania. And we've added to our headcount of our recruiting staff. So there are a lot of different areas that we're trying to improve on
David Ross: And would you say that the teams that were lost went to competitors or to retirement how would you thought at those?
Joey Hogan: Yes, it's all the above. Because we still hire plus, quite of few our hires on the expedited side are new students and we know half portion of those just didn't work out not interested in the industry. And so there's kind of two buckets, there's a student bucket and an experienced bucket. And on the expedited side at the end it's a tough job; it's a tough job and it's specially paid the most. And in our opinion and it is in our model. Besides our trainers, which is also an extremely difficult job and folks that want the team gets kind of seduced for the W2 potential, but then even experienced people but then they find a partner and it doesn't quite work out. I can't sleep while the trucks running, so it's a tough job and so some people stick and some don't.
Richard Cribbs: As well David, and upon being to work badly, all pats doing what it's doing. I mean I read Wall Street yesterday on who was it Zack or whatever $20,000 for recruiting bonuses and it's called, there's just not enough people who want to work and so we got to attack it based upon just the pressure that we've got with a full-employment that's going on right now in the United States.
David Parker: And I think part of the strategy that Richard mentioned in outlook section, once we get a driver in any of the doors within the enterprise, the challenge is to keep on, but certainly they want to stay and they're doing a good job. So the growth of dedicated service offering is really critical right now because, a, it allows us to minimize a little volatility on the expedited side and b. the returns are significant enough that it's not too far off what the expedited is. And we just think that's a good place to be as if drivers don't want to stay but like the enterprise, like the equipment, the benefits, the culture, so dedicated is a great place to be. So you are seeing us kind of pedal down in that regard not by any stretch taking any out call on expedited side, but in this market it's given us a good opportunity to grow our dedicated service offering.
David Ross: And how big is that dedicated service offering now either in terms of revenue or number of trucks?
David Parker: It's approaching the same size as the expedited side. We don't really disclose that in detail, as far as we disclose by company, not by service offering because all three of the companies have dedicated service offerings. So we get combine all three of those, let's call it 900-ish trucks approaching a 1000 and expedited is around a 1000 to 1100. So it's approaching the expedited side very quickly.
David Ross: All right, it's over a third of the business. That's a good way to look at it. Alright I'm going to get back in queue but thank you very much for the time.
Operator: Our next question comes from Brad Delco.
Brad Delco: Good morning, David, Joey, Richard. David, why don't you to talk a little bit, Richard provided us a lot of detail with his comments but as you think about the cadence of rate what you've been able to accomplish thus far and how it sort of folds into the mix in second quarter and third quarter, can you just sort of touch on that? How much have you already seen versus how much we are going to see in the second and third quarter?
David Parker: Yes, I was very happy with what we were able to accomplish in the first quarter. And I think that you'll see numbers north of those that we report in the first quarter. Keep in mind, we still got --we have a lot of our accounts that are a May-June timeframe kind of deal. And so second quarter is always a big quarter for us from a rate standpoint. And I'm very encouraged with what I'm seeing on the rates side out there, Brad. So I think you're going still continue to see nice improvement in both second and third quarter in process.
Brad Delco: When you say improvement, are you saying?
David Parker: Overlap
Brad Delco: I'm showing 9.5% on rate per total mile, you think it's going to be greater than 9.5% increase or if you think on an absolute basis it's going to be higher
David Parker: I think it's going to be - I think that we will continue to build upon the 9% or whatever the first quarter was 9.5% in the first quarter. I think the second quarter will be higher than that number by a decent number. So I think that, yes, we will sequential we'll continue to grow the rates.
Brad Delco: And then maybe kind of the point of the question really though was in terms of what you were able to show us with your first quarter results, have you touched 30% of your contractual business, 10, 20 like how does the cadence of that play out through first, second, third quarter?
Joey Hogan: Yes. I would say that going to do two different buckets. I would say that from a customer standpoint that we probably attack 70% or 80% of them, from a volume standpoint we got some major accounts in the second quarter that are coming online from a rate standpoint. And then it kind of flattens not as much opportunities in the third quarter from a contractual basis. So I think that the second quarter is really going to be where we'll see some improvement just because of the big customers.
Richard Cribbs: And when he says 70% - 80% have been touched that hasn't necessarily all gone into effect, probably about half of our rate increases go into effect during the second quarter at some point between April and June.
Brad Delco: Okay. So Richard like then, is 30% the right number for first quarter and you're getting an additional 50% till by the end of second quarter, 80% of your contractual pricing is effective that's kind of question I'm asked.
Joey Hogan: I would agree with that that's about right.
Brad Delco: Okay and then just the next question, David, I get the sense that we're shifting a little bit of strategy here more too dedicated. I understand given how tight the market is and how willing shippers are willing to lock up capacity, you're not necessarily de-emphasizing it sounds like the expedited. So I imagine you the regular cost to characters or customers are going to still be relying on you in fourth quarter for that capacity. When did those conversations start because just based on what we're seeing now it seems like those should be starting sooner than later? And if so, can you provide any color on what those conversations are like with those customers?
David Parker: So, your two questions, number one on the dedicated side, we see - we are definitely seeing great opportunities out there because of the environment that we've got and keep in mind we've got a question up here that's really driving our processes, and that is how do we get deeper into supply fence? How do we do that? And they can come across as what solutions are you doing on the 3PL side or what solutions are doing even on the brokerage side? But the 3PL side in particular how do we get deeper? How do we eliminate from making sure that we never become just an OTR, you call we how kind of carrier and we look at it and said one way is to get deeper, one way is 3PL side, one way is the dedicated side because those are long-term contracts that we've got in place. And what I mean by long terms, don't-- so you don't get bored about, it is that's at least two years. So there's two, three, four year top, a range was there that we're putting in place and to make sure that our customers don't have the ability to use you and abuse you, there in the top market that we put into the contracts. That if you get rid of the trucks that it's over a period of time. So x percent can come out per quarter on both sides that does then, if we wanted to exit it. So there's protections of both sides and what we have seen in the past Brad is that they're in quote a slowdown out there. The customer will keep their dedicated; the LTR is the first one to get here. The second, but and the last one to get here is the dedicated side of the world. And so we want to do that. The expedited is absolutely roaring. I could not be happier with expedited. We got to figure out how to get us another 100 teams or so into the bucket. And so I think that as we are forming the company with a question up there of how to get deeper into supply chain, that opens up a lot of different avenues for us, and expedited is absolutely one of those. Just because we're growing the other one, it's not at the sake of expedited because right now what I see in the next got two-three-four years, two to three years expedited is going to be unbelievable opportunities. I could not be any more excited that I am right now it feels like 1994 to me. And I think that the opportunities are just wonderful out there. And I don't see it happening with a slowdown of the possibility because the thing that I have told our folks, as well as Wall Street, is that nobody can predict if a bomb goes off somewhere and we are a big concern about the North Korea War. But it's even looking like and hopefully that something's not going - is not going to happen over there. That's going to put a damper in to whatever we're doing in the United States. And I'm just here to tell you that the economy is going very strong. I don't care if Caterpillar came out and said industrial are going to stink and all that stuff. We're not industrial and I'm very proud of what I see in the trucking. And what we've been seeing for the last 10 years, of what we've all been talking about from a capacity standpoint in a tough driver market an EDL, ELD standpoint we are seeing it. We are absolutely seeing it now and I just - I see it for the next couple of years being a very exciting time for trucking. Did that answer your question?
Brad Delco: It does. I can tell you're enthused David. One last question, very quickly for Richard, a loss of $1.1 million on equipment this quarter, was that trucks, trailers? Is that because they are manual transmissions and not AMT? What was the reason for the loss on sale of equipment?
Richard Cribbs: With one of the things that we've talked about is some additional investment in IT equipment. And so as we're upgrading some technology actually there's some write-down a write-off of some older technology equipment that's being replaced. And so I think that's primarily done. And so we've got - what we should see that number drop below $0.5 million each quarter for the rest of the way this year.
Brad Delco: So you expect $0.5 million loss on equipment for the rest of the year?
Richard Cribbs: Or less each quarter? That's right.
David Parker: And like I said, a lot of that is not around that a tractor-trailer deal. We had a bunch of QUALCOMM that we've had for a 147, it was been a business that we went ahead and wrote them off because the new models everybody's coming out with Brad.
Brad Delco: Okay. Got you, so it has less to do with what your equipment on the books for versus?
David Parker: Right, new trucks markets has got has improved, the accelerated depreciation we started back in 2015, it's got us with good book value. So we're comfortable where we are, book value wise on trucks. We did dispose a pretty large number of trailers in the first quarter and you saw some of that but it wasn't that those large losses that was very close to a fair value.
Operator: Thank you. Our next question comes from Scott Group.
Scott Group: Hey, thanks. Morning guys. David, can you just give us some thoughts on what you're seeing so far in April. So feels like it hasn't gotten hot yet but we've had the ELD take effect. What do you seen in April? What does it tell you about ELDs markets?
David Parker: Yes, I think April - I'm very, very happy. I'm very pleased; April as we all know can be one of those months they can be up or down top month for the month of April because you're coming off the first quarter in March. And we had Easter also in April and but I couldn't; business is outstanding and for a month of April the kind of deposits as I look at Major League Baseball, and I look at all the weather, the cancellations and that doesn't help, that doesn't help trucking. There's no doubt about it when people are not grilling and people have not started in the beverage season, and all those kind of things and it's been worse in the month of April than it has been in years past. So we've had some headwinds on that but our numbers are extremely strong. And I'm very happy with what I see in freight. Matter of fact, from a standpoint of just the business environment, I'm glad that we had a little bit weather going on in the Midwest in particular because we're still overbooked. I mean there might be a state here and a state there every day that maybe that we're not overbooked, but I'm here today we are 95% overbooked in the month of April, and probably a positive sign is that it's better being overbooked 125% like we have been maybe we're overbooked 110%. But which reduces the but June, and it reduces the pressure that you've got on your custom from the customers to at least get it to manageability kind of deal. You can manage it but I'm very happy. We are - I believe and I believe some of that is also ELD. There is no doubt that we are seeing customers with - the same thing we all been preaching for two years because that freight is 550 to 650 miles, 700 miles lit the hall. They are wanted to get on team. They're asking. We are seeing it on our solutions side that not that we advocated anybody cheating, but I just here to tell you that we got a lot of trucks that run out of hours that are running so low on our solutions group that six months ago, we're not running out of hours. And today they have to take rest breaks. And so that in itself is what I believe it's making April the month it is, and to me Lord just help us when beverage season gets here, the cookout season gets here and those kind of things. I think it's going to be outstanding.
Richard Cribbs: Yes, Scott, just for the first three weeks of April, utilizations actually turned just slightly positive flat to positive versus being down 3% in the first quarter. And some of that comes from as we talked about our seated truck percentage improving and a few more teams than what we had on average in the first quarter. But overall freight mix is really strong and then some of that's the dedicated accounts that we brought on in the last 45 days have really good utilization.
David Parker: That's been the same time some that dedicated the Richard has all utilization. And the rate I mean it's a mix of all of it. It's a mix of all that.
Scott Group: Okay, very helpful. The pricing comment about second quarter maybe being the biggest year-over-year increase this year. Is that entirely just the comps get tougher in the back half of the year or is that sort of any view about the direction of spot rates or anything like that? I just want to understand that the point. I think it's just cost -
David Parker: I think a lot of it has to do also with the end of the year - which the hurricane season, no doubt that happened to the month of September, but it went to November 1st. I mean we were still doing some billing in the middle of November on maybe 25% as a September/ October numbers. So we still had some of that but hurricane season unless there's some hopefully no death unless there's some more hurricane season to see a storm, that's going to be an obstacle that we got to overcome because that pricing is so dramatic as you know. If you were to strip the hurricane out last year and compared to this year, you would see second quarter results like - I think you'll see from a rate standpoint to continue to carry own into that third quarter but September will be a headwind. Okay, it's a modest account. [Multiple Speakers]
Richard Cribbs: Joey is saying something.
Joey Hogan: Scott, and also just remember we talked about last year but the second quarter last year we had a large. Large account, top 10 account that we rationalized throughout the second quarter. So that was a pretty big impact from the overall rate structure from first to second quarter. So we're wrapping back around that difference. So one of the things from there comparing quarters to quarters, that was a big kind of negative last year and we don't expect obviously this year. So from a quarter to quarter basis, that's probably one of the main reasons besides the market where you're going to see it probably the most favorable. And then move into the impact of hurricanes or theme of work we did in the third quarter as a headwind. So those are two big issues when you compare move from first to second to third.
Richard Cribbs: And then in the fourth quarter we have a lot more dedicated account where the rates are going to be set versus taking on quite as big percentage of our freight, that'll be the peak freight for the month of December. It was really a top issue.
Scott Group: Okay, and then final question if we're getting high single digit pricing for the year, what do you think is a realistic level of improvement to see this year?
Richard Cribbs: I think we talked about that during the fourth quarter call, and I think we're still tracking at I think at that time I said 250 to 300 basis points of improvement. I think that's still a reasonable estimate at this point.
Scott Group: Does it change because the pricing expectations higher now or we're not necessarily?
Richard Cribbs: I mean I think it's changed possibly a little bit, you saw that in our first quarter results, but we also have the wage increase pressures as well and then we're still getting through our investment into our managed capacity business with additional software and people. And still aren't sure when that spots rates will stop to squeeze on our margins in that business as well. So overall it's probably higher into that than it was lower end at the time we talked a quarter ago, but not move to substantially since then.
Operator: Thank you. Our next question comes from Jason Seidl.
Jason Seidl: Thanks, operator. Good morning, gentlemen. Just a couple quick ones for me. On the fuel hedges that you guys have here in 2018, could you remind us how they run throughout the year? And given where fuel prices are now what type of gain would you expect to book into 2Q?
Richard Cribbs: I think that the fuel hedge is we basically have the same percentage hedge and at the same prices the whole year. So it can change a little bit year-over-year basis, but what we're showing is as fuel hedge income in the first quarter is probably pretty similar to what we'll see the rest of year, unless the price of fuel goes up, and then it's just - we're going to have higher fuel cost, but we'll have improved fuel hedge to balance that out. So-- it's --there's no change throughout the rest of the year and then next year we have no fuel hedges.
Jason Seidl: Okay, no, I knew that, okay. I just wanted to make sure that there wasn't any changes as you move throughout the quarters. I want to want to talk about solutions for a little bit. I don't think you mentioned this. Could you remind us what percentage is spot versus what percentage is contract? And also what percent of the business that they do is from existing customers versus just out in the marketplace?
Joey Hogan: Jason, that's a great question, thank you. Historically, we are - what I would say team for our managed freight service offering is it's year of transition. Historically, to answer your first question has been huge contractual rates, a compliment to the asset size of enterprise. And so the markets been let's call it balanced enough to where margins will do it. We have a small but growing retail business setting here also. I think with where we are - investment in people we're trying to push - let's call it spot or customers that will allow us to price a cost-plus type situation. So we're trying to really, really, really move that as well as growing our three field business, the systems with - as a hindrance for us. And so right now it's very large contractual. I've been very pleased with some of the new business that the solutions has brought on in the first quarter this year that we think it gives the ability to act more like, I'll call it a true intermediary. And so but it's very early in that process. So that's a big year for manage freight. You're seeing the revenue results are significant and so we're excited about that but obviously the margin contraction, it's probable more than we expected, we expected quite a bit of that. I think Richard did a good job of setting expectations for that for the year. But we still exceed or we still exceeded our goal for the first quarter. And while that was felt by the revenue improvement so your transition, high contractual trying to add a mix of more spot-ish type customers with it, and trying to aggressively grow our 3PL business.
Jason Seidl: Okay, that's a great color, I really appreciate that. Richard, I want to get back to one of your comments and then I'll turn over somebody else. You mentioned additional driver wage increases coming to what magnitude and when should we expect them to hit?
Richard Cribbs: Well, a couple of things, in the first quarter, the expedited team bonus that we've put in place didn't go into place until February 1st. So we only had two months effect of that. At SRT, we had approximately a 10% driver pay increase that went into effect March 12 or 14 somewhere in there. So we only had two or three weeks' worth of that in the numbers. And then there's some additional pay increases going into place within the dedicated account, as well as on the team expedited side to help us continue to seat those trucks as we talked about trying to grow that back again. I don't know the magnitude but it could be another $0.02 to $0.04 a mile of employee pay increase moving from Q1 into Q2, Q3 kind of timeframe.
Jason Seidl: Okay, no. that's a perfect color. Yes, gentlemen I appreciate the time as always a nice job in the quarter.
Operator: Thank you. Next is a follow-up question from David Ross.
David Ross: Yes. Just wanted to touch on dedicated briefly, the annual contracts I guess when you sign up a dedicated customer are these two-year deals, two to three-year deals, three to five-year deals, how would you describe the contract from the dedicated side?
David Parker: They are minimum of two, is the minimum when we try to get out as far as we can. I don't know, David, if we got any five-year deals, but I would say two to three is 80% of them, and then the other say 20% would be one or four, if that helps them there and yes but we do - that said --that's just a contract but we do have the ability every year to sit down and discuss pricing with our customer. So we don't have it where to say a two-year contract that we can't talk rates for two years, every one of them are has the ability to be able to discuss rates.
David Ross: Especially on the driver's side,
David Parker: Sure. That's right.
David Ross: They are going to want - their fleet to still operate.
David Parker: That's exactly correct and that's bad because I'm sitting here thinking about you said that. We did have - we do have one that is a two year contract without a great - and we have had great talks with that customer in the last two to three weeks, and they are very open to a midterm rate strictly because of the drivers' situation. So we do have one account that is like that, but I do believe that we will have success all in the name of the driver because our thing is that we've got a situation good on the driver world that is not common, and we've got to get help. Do you want to help us on this or do you want us to reduce the amount of trucks that were running for you. So those are conversations I think will be successful.
David Ross: And when you sign up new contracts and when you go out and bid on dedicated business, are you targeting any specific OR? I mean is that's something you read 1 and 88 OR on it and 99 OR, how do you look at them the rest of your business in this environment?
David Parker: Yes. We do that. It's a relates to our SRT division but we got whatever 200 trucks or so that are running on the dedicated world, whereas when our turnaround for the last two or three years on the SRT, there is no doubt that 91 or 92 ORs better than 100 OR, and so we do have some of those but I would say that of the almost a 1,000 trucks that we're running in the dedicated environment, I would say that average OR is probably sub 90. Yes. Joey is saying even better than that so it's a good number.
David Ross: Okay and then if you think about that operating sub 90 and expedited being really hot right now, what's preventing the overall truck load business from getting to the sub 90 range?
David Parker: We will make it with SRT still being one third of our business, but those guys have done an unbelievable job not just since the fourth quarter when the world changed from a tightness I mean they were doing a good job 12 months ago at this time, and it just continued to build and so as I look at their first quarter I think their first quarter is Richards 106 OR something last year if I remember. And this year if it was profitable and so they have made great strides, they've taken out about 800 basis points or so 700 -800 basis points year-over-year. And I think that's what they will continue to do this year. So there's one third of your business that's making great headway. And will continue to make great headway but right now 95 OR we're very pleased with from 105 OR and I believe by the end of this year that as our team will be in the low 90s.
Richard Cribbs: Yes. They're a little better than that last year and they improved about 500 basis points year-over-year in first quarter. But they are trending down to I think we're hoping to get to a nice run rate below 90s by the end of the year. Yes, from dedicated from our good - business.
David Ross: And last question is just on the trailer count down 9% year-over-year. Could you remind me or explain what's going on there? [Multiple Speakers]
Joey Hogan: Yes. It's too many trailers. Yes. So we think because of the - I'll call it the weak-ish market everybody went into on the trailer side, it'll be back up, 2015 and 2016 was the first market that we can recall where the reefer trailer used market was weak. And I think a lot of our secondary market on the reefer side kind of set on their hands waiting on what is I going to do. Are these going to get passed or not? What's the effect to me going to be? Do I need to shrink? Do I need that? So everybody is - that market really stalled as we were reducing our investment in the refrigerated market. So in time we ended up with too many trailers and then also expedited side has been slowly drifting. And so we've wanted to rationalize our trailer fleet for a couple of years. And are basically here in the last six months or so it's now the markets kind of moved to the point of where we can. We're not quite done yet. I think you'll see a little bit more reduction in the second quarter, but the big chunk happened kind of fourth quarter first quarter.
Operator: Our next question comes from Brad Delco.
Brad Delco: Hey, guys. Thanks for taking a quick follow-up. Richard just kind of trying to understand seasonality to the extent you could provide us a number? Did weather hurt you at all? It wasn't noticeable, was it a lot worse on a year-over-year basis because I kind of sense that we're hearing it a little bit from some other truckers that it had a negative impact on first quarter. So to the extent you can provide us a number and be helpful.
David Parker: There's no doubt that February, January didn't, February had some issues in there and particular the eastern section of the country that along with one state, the state of Wyoming that just horrible. And we've put a lot of trucks run through the state of Wyoming going east and west, but it did affect, Donner's past which is Reno, Nevada out there was actually a great shape until about the 1st of March and then it was about three weeks there where they just got just got flooded with snow up there, but I would say if you were to look at first quarter overall that it was pretty normal but it just was January being good and February harding in particular the eastern section of the country.
Brad Delco: For the month of March.
Joey Hogan: For the month of March we had the most shutdowns we've had in five years. So it was impactful in the month of March also.
Brad Delco: But no idea in terms of it cost a million dollars or it's about in line with what it normally cost you for a first quarter?
Joey Hogan: Yes. If you look at the cost, it was about the same, so we did a good job, if we had more shutdowns with the same cost, so I think we did a better job managing through that, but with a little bit less miles or incident rate for weather-related accidents was up slightly. So I think all things considered from the group we did a pretty good job muscling our way through a pretty difficult winter from a weather standpoint.
Brad Delco: Okay and may be Richard I want to circle that back to one of Scott's questions about sort of your OR expectations because if you look historically you typically improve second quarter by 400 or 500 basis points, which would imply you're going to improve margins by 500 to 600 basis points in the second quarter. So sort of out of the gate you're performing a lot better than that annual guidance. So should we be thinking that guidance is a little maybe conservative or do things get just a lot more challenged in the back half a year which seems counterintuitive because you're going to have a lot more rate embedded in the business?
Richard Cribbs: Well, I think what we said is we're going to see continue to see sequential improvement. I think that due to the increase in the dedicated piece of our business that you're going to see some flattening of seasonality although we're picking up new business right now so from a seasonality basis, I hope what we're going to see is continue to climb in our earnings through the end of the year. And then not see the kind of drop-off that we generally have seen from Q4 to Q1, as we improve our fixed business on that dedicated and 3PL space, and grow that around the team.
Brad Delco: Okay that makes sense, all right, thanks for the follow-up guys.
David Parker: Brad did I ever - I got a question here. Did I ever answer your second question earlier on peak or not?
Brad Delco: Maybe not so I was really curious if those peak season guys have already reached out to you hoping to lockup capacity. I don't think you really answered that though.
David Parker: Yes. It could be answer number one I remember now.
Brad Delco: We got up we got off talking about North Korea and Caterpillar. I don't know how we got there but--
David Parker: I take it many places buddy. Yes, we've had numerous meetings, we started in January with those meetings and we have one last week with those meetings and they are coming along very nicely, and that said, I think that peak will be a good year, the thing that has not been established is that we have told our peak customers that we will never allow to happen going forward that hasn't done us, nobody's fault, we didn't know where the market was three weeks prior just kept building as we all know after the hurricane, and the stock market just kept building and we agreed upon pricing around the 1st of November and by the Thanksgiving pricing was X the spot market was Y, and it cost us a couple of million bucks if I remember. It was a big number that it cost us, and we're never going to allow that to happen. Now that said, we've met with all of our peak customers and told them basically what I just said to you, and we are about 50% there. I think on the solution side we've kind of got it implemented on what the trigger point is, but we got to make sure that we get it on the transport covenant side, as it relates to the spot market. And we have not finalized that part yet, but I think that we will and all of our peak customers and us are going down the same road that they want our trucks, they want us to do as much or more than we did last year. And where it's actually in our corner from a standpoint of what can we do with the economy as great as it is right now, are we going to be successful for that of the spot market and getting trucks and what is the price going to be. So could we wrap it up to date with one phone call? But we're not willing to do that until we get more of an idea of what our costs are going to be. So if that helps you?
Brad Delco: That does. Thanks David. That puts it in the context. So good results, appreciate the time, and thanks for the follow up.
David Parker: Okay. If we have no have no more questions, then thank you guys for being on this call. And we will talk to you again next quarter. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's presentation. You may now disconnect.